Operator: Good morning, ladies and gentlemen, and welcome to BlackSky Technology Inc.'s First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Please note this conference call is being recorded. I would now like to turn the call over to Aly Bonilla, BlackSky Technology Inc. President of Investor Relations. Please go ahead, Aly.
Aly Bonilla: Good morning, and thank you for joining us. Today, I'm joined by our Chief Executive Officer, Brian O'Toole, and our Chief Financial Officer, Henry Dubois. On today's call, Brian will provide some highlights on the quarter and give a strategic update on the business. Henry will then review the company's first quarter financial results and outlook for 2025. Following our prepared remarks, we will open the line for your questions. A replay of this conference call will be available from approximately 12:30 PM Eastern Time today through May 22. Information to access the replay can be found in today's press release. Additionally, a webcast of this earnings call will be available in the Investor Relations section of our website at www.blacksky.com. In conjunction with today's call, we have posted a quarterly earnings presentation on the Investor Relations website that you may use to follow along with our prepared remarks. Before we begin, let me remind you that certain statements made during today's conference call regarding our future plans, objectives, and expected performance, including our financial guidance for 2025, are forward-looking statements. Actual results may differ materially as these statements are based on our current expectations as of today and are subject to risks and uncertainties, including those stated in our Form 10-Ks. We encourage you to review our press release, Form 10-Ks, and other recent SEC filings for a full discussion of the risks and uncertainties that pertain to these statements and that may affect future results or the market price of our stock. BlackSky Technology Inc. assumes no obligation to update forward-looking statements except as may be required by applicable law. In addition, during today's call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA and adjusted imagery and software analytical service cost of sales. A reconciliation of these non-GAAP financial measures to their most comparable GAAP measures is included in today's accompanying presentation, which can be viewed and downloaded from our Investor Relations website. At this point, I'll turn the call over to Brian O'Toole. Brian?
Brian O'Toole: Thanks, Aly, and good morning, everyone. Thank you for joining us on today's call. First off, I am happy to report that our new Gen three satellite is performing exceptionally well and exceeding our expectations. As you can see on the first few slides, the image quality of this very high-resolution satellite is incredible. As we have been formally commissioning the satellite over the past several weeks and putting it through its paces, we have been successfully collecting imagery from all over the world. We were happy to announce earlier this week that we have now completed all of our formal tests and are now delivering evaluation imagery to customers. This achievement marks a major technical and business milestone for the company. The initial very high-resolution imagery and advanced analytics from our new Gen three satellite is generating a lot of excitement with our customers as they are actively evaluating imaging performance ahead of bringing this capability into their operations. I will share some additional details later, including upcoming plans for the next launch. Now beginning with Slide six. I'm happy to report that we are off to a strong start to 2025, building on our momentum from last year. We have continued to expand our customer base and are entering new markets as demand for our space-based intelligence solutions remains strong. Now let me share some of the key highlights from the quarter. First, we were awarded over $130 million in new contracts and renewal agreements in the quarter, primarily driven by several multiyear contract wins. These wins demonstrate the growing interest from defense and intelligence agencies worldwide to secure long-term contracts for our imaging capacity over the region of interest. We were also happy to announce a new contract to accelerate the development of India's commercial earth observation capabilities, a new and emerging market for commercial space. Second, as a result of the strong bookings in the quarter, our backlog grew 50% compared to the prior year quarter. This growth reflects the demand we're seeing for our space-based intelligence solutions and provides us with strong out-year revenue visibility. Third, we delivered strong year-over-year revenue growth of 22%, primarily driven by new contract awards. Fourth, we're pleased that our first Gen three satellite is through extensive testing and continues to exceed performance expectations. And finally, our second Gen three satellite is being shipped and is on track to launch in Q2, which will begin a cadence of additional launches throughout the year. I'm also happy to report that we continue to improve our liquidity position in the quarter, strengthening our financial profile and our ability to invest in key growth and go-to-market initiatives. These highlights demonstrate our continued strong execution and laser focus on providing customers with unmatched imagery and analytic insights while setting the stage for sustained long-term profitable growth. I would now like to share some operational highlights from the quarter. Turning to Slide seven, we're pleased that we won $130 million in contracts in the quarter, which included several large multiyear agreements. The strong bookings performance drove a 50% year-over-year growth in our backlog to $366 million. This significant increase is a clear indicator of the growing demand for our space-based intelligence solutions and the desire of our customers to secure long-term contracts for our imagery and analytics services to support their mission-critical operations for years to come. Our sales pipeline of multiyear subscription opportunities continues to grow as we bring Gen three to market. As we convert these opportunities into long-term subscription contracts, our multiyear backlog should also grow, providing improving long-term revenue visibility. As a reminder, the majority of our contracts are with government customers, and the timing of these contracts has the potential to introduce quarter-to-quarter impacts to bookings, revenue, and EBITDA. The majority of our backlog is for high-margin imagery and analytics services from our current Gen2 and future Gen3 Constellation. As we launch more Gen three satellites and get them into operations later this year, we expect to unlock further contract opportunities and recognize additional revenue growth from our existing backlog. Moving to slide eight, as I just highlighted, I am excited to share that our Gen three satellite has completed calibration and testing and is delivering exceptional imagery that is achieving up to near six quality. For those who may not know, NIRS is an industry-standard image quality metric used by analysts to characterize the performance of imagery to meet certain mission requirements. Our Gen three satellite is delivering imagery at a quality equivalent to much larger and more expensive 25-centimeter class satellites. Attaining this class of image quality is a commercial first for a satellite of this size, cost, and performance. The Gen three satellite is proving to be an exceptional spacecraft that we expect will be a workhorse for BlackSky Technology Inc. and our customers for years to come. But just as exciting is the AI-derived information that we are now extracting from these images. Within three weeks after launch, we demonstrated how our advanced fully automated AI capabilities can transform Gen three satellite imagery into actionable insights at machine speed and scale for sites of interest around the world. BlackSky Technology Inc. is setting a new industry standard using advanced software and AI-enabled automation to accelerate space-based intelligence capabilities through disruptive speed, economics, and insights. While optimizing and validating the performance of this satellite over the past several weeks, we have been providing sample imagery to customers and potential partners around the world. I am proud to report that the customer response to our initial Gen three imagery has been overwhelmingly positive and is driving growth in our sales pipeline. Our customers are very excited about the new mission applications that will be enabled by combining very high-resolution imaging with high-frequency monitoring and advanced AI analytics. Turning to slide nine. With the superior resolution and image quality of Gen three, we are now able to demonstrate the ability of our AI to extract an incredible amount of information and insights in real-time and deliver this actionable intelligence at industry-leading speed and scale. In this example, our AI was able to automatically detect and classify over 25,000 individual vehicles and over 700 maritime vessels in just a few minutes. All fully automated and with incredible precision. This type of analysis would typically take teams of analysts hours and days using traditional tools and manual processes. This is a clear example of how proven and disruptive commercial space technologies can support a range of new and advanced applications and provide highly efficient and cost-effective solutions to government customers. Moving to slide 10, now that we have demonstrated and validated Gen three satellite performance, image quality, and AI analytics, we are now set to commence a regular cadence of additional Gen three launches. In fact, our second Gen three satellite is being shipped this week and is on track to launch in Q2. As we look ahead, we are on track to have eight Gen three satellites on orbit by early 2026. With each launch improving our revisit rates, capacity, and the quantity and quality of actionable intelligence we are delivering to customers. We expect to begin providing early access to Gen three imagery and analytics services to major customers over the course of the summer, with general commercial availability anticipated to begin by Q4. As a reminder, many of our existing major contracts, such as EOCL with the U.S. Government and several large multiyear international contracts, are structured to incrementally expand as Gen three capacity comes online. Turning to Slide 11, as we continue to build out the Gen three constellation, we are moving into our next phase of growth where we can provide our customers with best-in-class imagery and new and advanced applications that combine very high-resolution imagery, high-frequency monitoring, and AI-driven analytics. We believe we are redefining the future of space-based intelligence. Enabled through a best-in-class space and first-of-its-kind software platform. Our software-first strategy, which leverages over ten years of investment in our Spectra platform, is a unique capability and a key enabler for rapidly developing and deploying new and innovative space-based intelligence solutions to customers around the world. The combination of these advanced capabilities provides BlackSky Technology Inc. with a powerful competitive advantage in the market and is able to overcome the limitations of legacy solutions that were designed for static mapping applications. We are excited to be entering into a new aerospace-based intelligence with new and exciting opportunities emerging on the heels of our successful demonstration of Gen three. We are well-positioned to meet the rapidly growing demand for space-based insights from an expanding global customer base. Especially at a time when governments around the world are seeking to accelerate and expand their space-based capabilities leveraging cost-effective and proven commercial space technologies. While we are bullish on this growing market opportunity, we are also cognizant of a very fluid geopolitical and economic environment, both here and abroad, and remain vigilant in monitoring policies and budget dynamics that may have near-term impacts on our business. Despite this uncertain time, we are maintaining our full-year outlook for 2025 and look forward to progressing ahead with our growth plans. With that, I'll now turn it over to Henry to go through the quarterly financial results. Henry?
Henry Dubois: Thank you, Brian, and good morning, everyone. Before I begin, let me remind you that references to adjusted cost of sales exclude stock-based compensation, depreciation, and amortization expenses, as we believe this measure represents a more accurate picture of our business without having these non-cash items obscure the underlying performance. With that, let's go through our first quarter financial results starting with Slide 13. Total revenue for the first quarter of 2025 was $29.5 million, an increase of $5.3 million or 22% over the prior year quarter driven by higher professional and engineering services revenue. The primary driver for this increase was related to the recognition of progress to date under a new contract to accelerate the development of India's Commercial Earth Observation Program, which we announced in February. These strategic contracts deepen our relationship with these customers and are typically precursors to securing long-term subscription contracts for imagery and analytics services. Keep in mind, revenues recognized from these types of contracts are largely milestone-based and may have quarter-over-quarter variability. In addition, our high-margin imagery and analytics revenue currently comes from our Gen2 satellites as we look to begin mixing in initial Gen three imagery later this year. Moving to Slide 14, our adjusted imagery and analytics cost of sales for the first quarter of 2025 was $3.8 million compared to $3.4 million in the prior year quarter. The slight year-over-year increase was primarily due to short-term investments to optimize operating efficiencies that will drive margin improvement over time. Now turning to slide 15. Our adjusted EBITDA for the first quarter was a loss of $600,000 compared to an adjusted EBITDA of $1.4 million in the prior year quarter. The $2 million year-over-year decrease was primarily due to higher SG&A expenses of $2.6 million as we absorbed the first full quarter of overhead expenses from the recent LEO Stella acquisition. As a result of bringing LEO Stella's production capabilities in-house, we are only able to capitalize direct labor and costs associated with the construction of our satellites and not their associated overhead costs. Under the prior structure, we would have reported positive adjusted EBITDA of $2 million or $600,000 better than the prior year. Keep in mind, the strategic acquisition of LEO Stella was to allow us to better control and optimize our satellite manufacturing capabilities and secure advanced space technology and intellectual property to support our long-term growth objectives. Going into 2025, we expected to realize some cost savings related to the acquisition, but with the successful launch of Gen three, we decided to make additional investments in innovative space technologies to support our next-generation capabilities. Let's move on to cash and liquidity position as shown on slide 16. We ended the first quarter of 2025 with $77 million of cash, restricted cash, and short-term investments. This amount includes a $32 million cash prepayment for work related to a new contract awarded with an international defense and intelligence customer in the first quarter. In addition, we have accumulated approximately $39.2 million in unbilled contract assets, of which $32.4 million is anticipated to be billed and received over the next twelve months as certain customer milestones are met, with the rest expected to be collected in the following twelve months. These assets, together with about $20 million in the remaining vendor financing for several Gen three launches, bring our total liquidity position to over $136 million. This is an increase of $46 million or 51% from the prior year quarter. Given this liquidity profile and our expected performance, we believe we are fully funded to deploy our baseline constellation of 12 satellites and get to free cash flow positive. Now turning to slide 17, and our outlook for the year. With the success of our Gen three satellite, we're seeing additional long-term opportunities emerge for commercial space-based solutions. We are also keeping a close eye on potential risks, particularly the timing of contract awards and budget allocations, that may be associated with a rapidly changing geopolitical environment. While the near-term situation remains fluid, we are maintaining our full-year 2025 guidance, which consists of revenue between $125 and $142 million, adjusted EBITDA between $14 million and $22 million, and capital expenditures between $60 million to $70 million. In summary, we're pleased with the strong revenue growth in the first quarter and the continued momentum we're seeing across the business. With that, I'll now turn it back over to Brian for some closing remarks. Brian?
Brian O'Toole: Thanks, Henry. In closing, we're happy that our first Gen three satellite is now fully operational and delivering exceptional imagery and analytics, which is getting positive feedback from customers around the world. We are making great progress growing our customer base, building our backlog, advancing our technology, and strengthening our balance sheet. Our highly efficient and cost-effective space and software solutions are well-positioned to address national security needs both here and abroad for years to come. As we deploy additional Gen three satellites this year and further expand our constellation in 2026, we believe BlackSky Technology Inc. is at the forefront of a new era in real-time space-based intelligence. With new Gen three satellite launches on the horizon, deepening customer engagements, and a growing sales pipeline, the foundation we are building today is setting the stage to drive our next phase of growth into 2026 and beyond. This concludes our remarks for the call. And we will now take your questions.
Operator: Thank you. We will now begin the question and answer session. If you're using a speakerphone, please leave the handset before pressing any keys. Your first question comes from the line of Edison Yu from Deutsche Bank. Please go ahead.
Edison Yu: Hey, good morning, guys. Thank you for taking our questions. So first off, I want to ask you mentioned some of the geopolitics and I guess macro uncertainty. How are you seeing that or are you seeing that impact some of these discussions with the international customers that may have made progress? And I guess it's in the context of are they now a little bit more hesitant because they want to see what kind of trade deal gets worked out or something? Or is it actually a good thing because now they feel, oh, we want to actually do something because, you know, we want to kind of see working with a, you know, US commercial customer. A US commercial, EO provider.
Brian O'Toole: Yeah. Good morning, Edison. Thanks for the question. I think what we're experiencing right now is continued strong demand worldwide. You know, we had a very strong first quarter. And in fact, since our demonstration of Gen three, we're actually seeing our pipeline grow. I think there is clearly a lot of demand worldwide for space-based intelligence solutions. And we're seeing, you know, strong interest for our commercial imagery and analytics services, but also governments that are accelerating their investments in their own sovereign capability. So I think everybody's cognizant of the geopolitical dynamics, but I also think national security is a first and foremost priority. And we're well-positioned to help them address that. So despite some of the dynamics right now, we're seeing strong interest in demand and feel we're well-positioned.
Edison Yu: Gotcha. I want to come to ask about AI. I know it's a word that gets, you know, thrown around a lot these days. How many of the customers, particularly new customers, are you speaking with that this is a kind of big or is the core reason that they are getting involved or getting interested or increasing their business? Is it a deal breaker for a lot of these, whether it's domestic or international customers, to really get their hands around? Is that increasing the potential of Spectra as a growth driver? How does one kind of view that at the moment?
Brian O'Toole: Yeah. So I think what we're seeing is, you know, now that the and this is what we're seeing particularly as we've been bringing our Gen three imagery around the world to customers where now they're moved they can see that the very high-resolution imaging is there. Then when you start to combine it with the high-frequency low-latency collection, the volume and speed of the information they need to deal with is starting to outpace their normal operations. So they are all recognizing they need to introduce AI into their environments and workflows to one, keep up with the rate and volume of information, but two, speed up the time to insights. When that data comes in and gets turned into actionable intelligence. So that conversation with customers is to me made a marketed market shift particularly in the last nine to twelve months. So we're anticipating this to be a really critical capability that customers are going to need to have as they expand their capabilities over the next couple of years.
Edison Yu: Understood. Thank you.
Brian O'Toole: Thanks, Edison.
Operator: Thank you. And your next question comes from the line of Jaeson Schmidt from Lake Street. Please go ahead.
Jaeson Schmidt: Yes. Thanks for taking my questions. Just looking at your backlog, curious what timeline you expect to recognize that backlog and then relatedly, how much of that relates to Gen three capacity?
Brian O'Toole: Yes. Good morning, Jaeson. Thanks for the question. As we reported, we grew our backlog very significantly in the first quarter up to $366 million. And in the near term, you know, there's a reasonable amount of revenue from our imagery and analytics line that we're going to see coming in over the next couple of months. You know, we announced our EOCL extension and a large international deal. And so near term, you know, we're going to see that coming into play and stepping up as we get into the second half of the year. And then, you know, there's quite a bit of strong backlog out there post-2026.
Jaeson Schmidt: Gotcha. And then just as a follow-up, Henry, based on your comments on the professional services revenue line, would we expect that to take a step back here in Q2?
Henry Dubois: Thanks for the question, Jaeson. Yes. I mean, as you may recall, when we have some of these programs where we are taking some hardware and kind of positioning it off for a customer, we already have that sitting on our balance sheet, and we're moving that into for-sale assets. That's why you get a big catch-up right up front. So we did have a fair bit of that happening in the first quarter there. Correct?
Jaeson Schmidt: Okay. Thanks a lot, guys.
Operator: Thank you. And your next question comes from the line of Jeff Van Rhee from Craig Hallum. Please go ahead.
Jeff Van Rhee: Great. Thanks. Thanks for taking the questions. Congrats, guys. Real nice progress on Gen three and some great images here. Talk to me maybe about just briefly on the $130 million increase in backlog. Can you give a sense of rough proportion how much of that from new customers versus existing customers?
Brian O'Toole: I think, you know, we announced a very large international deal which was a good portion of that from an existing customer. There are in the mix about 20 new customers in there, including the deal we announced in India.
Jeff Van Rhee: Okay. That's helpful. And so talk to me then maybe just for a minute on the sovereign interest. Can you give just a little more expanded commentary on the scope and magnitude of the increase in sovereign capabilities? And kind of how that's progressed over the last ninety, one hundred and eighty days?
Brian O'Toole: Yeah. I think, you know, we're seeing growing interest and governments accelerating their programs. You know, if you look at programs we publicly announced in India and Indonesia, you know, we're seeing this growing opportunity for bundling our commercial imagery analytic services with the space and software assets. So and we're seeing that pretty much worldwide across multiple regions. I think we're also seeing that those things seem to be those opportunities seem to be accelerating, I think, as governments are looking to move quicker. In building out their capabilities. But we believe we're pretty well-positioned to capitalize on this dynamic in the market.
Jeff Van Rhee: Mhmm. Yep. It seems like one last if I could in terms of just sort of as you build out the architecture, how critical is edge compute or on-orbit compute? And your thoughts on optical interlinks, just forward roadmap, how critical are those capabilities? How do you view?
Brian O'Toole: I think onboard computing is another tool in the toolbox. We're delivering very high performance and low latency delivery without that capability. We have mentioned before, optical cross-links is something we're currently developing and investing in. This will be a next level of capability to improve latency in both on the tasking of the satellites and the delivery of information and analytics to our customers. So all of those things are being addressed in our roadmap.
Jeff Van Rhee: Sounds good. Congrats on the progress. Thanks.
Brian O'Toole: Thank you.
Operator: Thank you. And your next question comes from the line of Timothy Horan from Oppenheimer. Please go ahead.
Timothy Horan: Thanks, guys. Three questions if I may. The near six, congratulations. But can you say what you were expecting and what we conveying to your customers prior to the actual real-life examples? Can you give us also it sounds like you're gonna be doing two satellite launches per quarter starting in the second half of the year. Is that pretty accurate, and can you maintain, you know, that pace? Then I have an AI question.
Brian O'Toole: Yeah. I think, yeah, on the image quality, you know, we had designed the system to be in the nearest five, five plus type realm. So and that is aligned with what our customers were our expectations, I think, you know, we're seeing some images come out in that near six level. Which is indicating the system is performing beyond our expectations. But phenomenally, for where we expected to be, you know, is it's meeting and or exceeding where we wanted to be on image quality. The pace of launches, as I mentioned, are we're on track to board eight satellites by early 2026 and six on orbit, you know, by later this year. So we have a regular cadence of satellites coming off the production line and we're aligning launch capacity and are on track to hit that launch cadence.
Timothy Horan: So any sense by year-end 2026, how many satellites you'll have in operation?
Brian O'Toole: We have a plan. Our plan is to have 12. That would get us to our baseline constellation.
Timothy Horan: Great. On AI, can you license out your technology for customers to, you know, analyze other images, other data sources out of curiosity?
Brian O'Toole: Yeah. We would be able to do that. We don't currently do that. But we do have IP and software capabilities that do analyze other parties' imagery, not only electro-optical but radar. And other capabilities. And we've been incorporating that into some of our advanced capabilities. I think I may have mentioned on prior calls some of our work in doing broad area search for monitoring large areas of interest for change. And we can do that at scale. Across very large datasets and large areas regional areas of interest.
Timothy Horan: And so is that something you're planning on pursuing? And is it could be a pretty large incremental revenue opportunity?
Brian O'Toole: Well, we think the AI delivering AI-derived information is certainly part of our core business plan. Now we're gonna see how this market unfolds into what levels of software and other types of capabilities we may or may not license to customers.
Timothy Horan: Thank you.
Operator: And your next question comes from the line of Joshua Sullivan from The Benchmark Company. Please go ahead.
Joshua Sullivan: Hey, good morning. Good morning, Jeff. In prepared remarks, you noted the last guys entering, you know, the next phase of growth here. Maybe you could expand on that perspective or wax poetically, I guess, just as you enter this next phase, what we should be expecting over the, you know, next one to three years versus maybe where you've been?
Brian O'Toole: I think the main thing that we're excited about is the interest and demand for Gen three imagery and analytics. And so as we continue to deploy those satellites into our constellation, we are seeing a strong step up in imagery and analytics revenue. That's going to be tied to that. We have a significant backlog tied to some of our major programs. That begins to get unlocked as we bring that capacity online. So as you look out over the next eighteen to twenty-four months, that's the exciting part of our business that's gonna be driving very good growth.
Joshua Sullivan: And then just on the full ownership of Leo Stella, you know, how has that evolved since taking full ownership?
Brian O'Toole: Yeah. I think as a reminder, that was a strategic acquisition for us. As you can see, Gen three is really demonstrating to be a remarkable platform, and we wanted to make sure that we had the ability to optimize and control the production, supply chain, and production of those satellites. So we've got that moving ahead very nicely. There's also some next-generation technologies that came along with that that we're investing in. We're only really a couple of quarters into integrating them into the operations, and that's going well. And, you know, we think over the long term, having that type of capability vertically integrated into the business, on top of the satellite constellation, our AI and software is going to put us in a very strong competitive position.
Joshua Sullivan: Great. Thank you.
Operator: Thank you. And your next question comes from the line of Chris Quilty from Quilty Space. Please go ahead.
Chris Quilty: Thanks, Brian. Just wanted to follow-up on that LEO Stella discussion. I think you said during the discussion that you are going to invest in Gen three. I was just wondering, is that R&D investments to improve the platform? Are we talking CapEx investments in facilities to support production?
Brian O'Toole: Thanks, Chris. When I mentioned additional investments in Gen three, it primarily pertains to R&D efforts aimed at enhancing the platform. We are constantly looking to refine and innovate on the platform to maintain and extend our competitive edge. There is also some CapEx related to ensuring our facilities and infrastructure can support production, but the primary investment focus remains on the technological and operational improvements.
Chris Quilty: Got it. Thanks for the clarification. Also, regarding your AI capabilities, and the customer response you're seeing, is there any specific vertical or sector showing particular interest?
Brian O'Toole: We are seeing broad-based interest across multiple sectors, but there is particularly strong demand from the defense and intelligence sectors for actionable insights. They are recognizing the value of high-resolution, high-frequency imaging combined with AI analytics. Commercial sectors are also beginning to see the benefits as they explore new applications, but national security remains a driving force.
Chris Quilty: Excellent. Thank you.
Brian O'Toole: Thank you, Chris, and thanks to everyone for the engaging session today. We appreciate your questions and your interest in BlackSky Technology Inc.